Operator: Good day, ladies and gentlemen, and welcome to the ASUR First Quarter 2013 Results Conference Call. My name is Jamie and I’ll be your operator. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) As a reminder today’s call is being recorded. For opening remarks and introductions, I’d like to turn the call over to Mr. Adolfo Castro, Chief Executive Officer. Please go ahead sir.
Adolfo Castro: Okay, thank you, Jamie and good morning, everybody. Thank you for joining us today for the conference call to discuss our first quarter 2013 results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risk and uncertainties that could cause actual results to differ materially, including factors that may be beyond our company’s control. For an explanation of these risks, please refer to our filings in the Securities and Exchange Commission and the Mexican Stock Exchange. On today’s call, I will provide a brief update on San Juan, Puerto Rico airport and then go over the key highlights of the results of the quarter. Moving on to San Juan airport, as you know we were the preferred bidder for these airport and we have obtained the final approval from the FAA to lease and operate this airport for a 40 year period. This is the first airport on the FAA’s Privatization Pilot Program and we believe that these will be seen some years from now as a very important step forward on the future privatizations in the United States. We made an equity contribution of $118 million for our 50% share in Aerostar and we provided Aerostar $100 million subordinated loan at the interest rate of LIBOR plus 210 basis points. It was funded through a credit agreement with BBVA Bancomer and Bank of America Merrill Lynch for $250 million with a five year term and an interest rate of LIBOR plus 199 basis points. At the same time, our subsidiary Cancún pledged its membership interest in Aerostar to secure the $350 million senior secured loans issued by Aerostar in a private placement. As Aerostar is a joint venture and not our subsidiary, we do not consolidate Aerostar’s assets or liabilities into our financial statements and have both our 50% share in Aerostar under the equity method in accordance with International Financial Standards. ASUR’s equity in the income of Aerostar for the quarter was a net loss of Ps. 122 million. To get the day one of operations under Aerostar’s management, around 140 million were spend during the more than two year period in which ASUR was involved in the bidding process for the privatization process of San Juan, Puerto Rico airport. This included the preparation of all the bidding documentation obtaining the Part 139 Certificate from the FAA, market research, consulting, legal and debt financing fees among others. We also reported an operational loss of 8 million from San Juan, Puerto Rico airport generated from the operation of the company as from February 28, 2013 to March 31, 2013. In addition as reported a 47 million loss in stockholders’ equity resulting from the translation effect of Aerostar’s financial statements in connection with evaluation of the capital stock derived from depreciation of the peso against the US dollar. Results this quarter were also impacted by the reimbursement by Aerostar of Ps.20 million in fees paid to third parties in connection with ASUR’s participation in San Juan, Puerto Rico airport privatization project. A foreign exchange gain of 66 million resulting from the 3.5% appreciation of the Mexican peso against the US dollar in connection with increasing foreign currency denominated debt following the $215 million rate agreement with BBVA Bancomer and Bank of America Merrill Lynch as I mentioned before. At the same time, total passenger traffic at San Juan airport was 782,924 from February 28, 2013 to March 31, 2013. Our goal now is to transform San Juan airport into a world class airport gateway and while San Juan airport is the Caribbean business airport and very attractive growth opportunity for us, keep in mind that this is a long-term project. We believe it will require around three to four years to turnaround this operation and bring it to efficiency, profitability and service levels that we have at Cancún today. In fact, during the next years, we will focusing on completing needed maintenance projects, improved passenger flow, upgrade infrastructure, improvement in phase airport retailing operations. It also means focusing on brand information revenue growth from level similar to what we have maintained years ago to achieve the world planning standards we have set forth today. As always we are committed to transparency, we will provide additional updates as we move along the transitioning, the operation of San Juan, together with the Puerto Rico Port Authority through a process that will last several months. In terms of our consolidated results, passenger traffic increased 8.5% year-on-year with a 10% expansion in domestic traffic and 2 million passengers this quarter, the highest record for us in the first quarter. Domestic traffic was particularly strong at Cancún, Veracruz, Oaxaca, Villahermosa, Cozumel and Minatitlán airports. Traffic at Cancún remains at historical peaks, reaching more than 1 million passengers this quarter. The smaller airports; however, are still affected by the limited domestic airline peak capacity. International traffic rose 7.5% to 3.6 million passengers and represented 64.1% of total traffic slightly below the 64.7 share in the first quarter 2012. Passenger traffic between Mexico, Canada and the United States represented 83.09% of the total traffic compared with the 85.79% a year ago. Revenues rose 7% this quarter driven by passenger traffic growth and continued expansion commercial revenues. Commercial revenues per passenger, however, fell 0.5% to Ps.74.24 year-on-year reflect the shift in passenger mix towards domestic traffic which is restricted from purchasing duty-free items and the effect of the 3.5% appreciation of the Mexican peso against the US dollar. Nonetheless, this was the second highest value for the first quarter. Operating costs and expenses rose only 0.7% year-on-year as we will reimburse the fees paid to third parties in connection with our participation in the privatization process in third quarter. During this reimbursement, total operating costs and expenses would have increased 4.1% mainly reflecting higher maintenance cost. EBITDA was up 10.7% with an EBITDA margin increase of around 222 basis points year-on-year to 66.74%. We made investments of Ps 91 million this quarter as we continue with the terminal expansions in Huatulco, Oaxaca, Villahermosa and Veracruz airports, all of which are expected to be completed during the year 2013. Finally, we maintain a strong balance sheet with cash and cash equivalents of Ps 2.7 billion and bank debt of Ps.2.9 billion at the close of the quarter. Before opening the floor to questions, let me note that this coming Thursday, we will be holding our General Annual Ordinary Shareholders’ Meeting among other items, the agenda include the proposal by the Board of Directors to pay an ordinary net dividend in cash from accumulated returns in the amount of Ps.4 for each of the early A shares and B shares. Now, let me open the floor to questions. Please Jamie, go ahead. Jamie, please go ahead.
Operator: (Operator Instruction) And we’ll take our first question from Benjamin Theurer with Barclays.
Benjamin Theurer – Barclays: Well, good morning. First of all thanks for the call. I have actually two questions, one is related to the overall operations within Mexico. We’ve seen this kind of improved international traffic of about 7.5% growth. What’s your expectation going forward in terms of international traffic? What have you seen so far and do you expect a shift more towards international traffic again which should then be positive for commercial revenues which was a little bit weak this quarter just because of the lower level of international traffic and then the second question would be related to Puerto Rico, you said already that it will take about three to four years to turn the operations around but do you expect to become at least in terms of operational profit positive before that timeframe or do you actually expect some three years to be operationally profitable at that airport? Thanks.
Adolfo Castro: Hi good morning Benjamin, thank you for being here with us. In terms of the traffic, yes you’re right. We have seen some improvement in the international traffic, I would say basically from the United States in the past year 2012 all regions were growing of the exception of the United States. Apparently, today what we are seeing is a small increase from the US traffic. If this will continue or not it’s hard to say but my expectation is that this year the domestic traffic will be more balanced against what we saw last year. Also it is important to say that due to the fact that Mexico City airport is congested or that the Mexican authorities have decelerated these airports as stagnated and because of these they have decreased the amount of operations that these airport can take in an hour as from some of these years probably we will see a small reduction over the end of the year. Again this will change a little bit asset mix that we expect for this year. In the case of San Juan, yes we are talking about three to four years to make a turnaround of this airport and basically to be able to provide the same level of service quality that we are providing today at Cancún. Of course in terms of financials now we do not speculate to four years in order this airport can report profits, the result which show for the first 31st days of operation was a small loss in my opinion and these should be corrected in the years to come because of increase in the commercial revenue per passenger. Of course this will not happen from day tonight but first thing that we have to do is to improve work due to maintenance, correct maintenance problems these airport has today; second to start with the construction of the new layout of the terminal and then we can talk about more growth in terms of commercial revenues. So I would say this will mature one year from now.
Benjamin Theurer – Barclays: Okay thank you very much.
Adolfo Castro: You’re welcome.
Operator: And we will take next question from Stephen Trent with Citi.
Stephen Trent – Citi: Good morning Adolfo and thanks for the time, sorry if I am repeating something you already said, but I had some trouble dialing in. I just wanted to follow up on one or two of Ben’s questions, looking at Puerto Rico in your outlook on that. I am wondering sort of what general assumptions you made about sort of recovery of capacity from the likes of American Airlines and to what extent that FAA budget cuts have impacted your outlook in terms of having this asset become accretive?
Adolfo Castro: Okay hi good morning, Steve. In the case of American Airlines we don’t believe that they’re going to go back in the strategy based target two years ago basically moving their hub operations from San Juan to Miami and maybe you know that as from April this year American Eagle is not operating there anymore. So we’re not focused on that and we don’t believe that we’re going to be able to compete them, one they have invested a lot of money in Miami airport. Again these – Jetblue is putting a lot of emphasis in the growth of these airport and I would say this region in the future. In terms of the current cost from FAA well from TSA basically, I would say we do not expect any major impact in the case of San Juan airport. Also one of the projects we have there that we will start constructing towards the end of this year will be the improvement of the security field test map in order they can be more efficient in terms of using their own personnel. So that will benefit the airport and also this will benefit them in terms of the amount of people they have look at it to process all of these passenger. So I don’t expect any problem with the situation in San Juan. And remember that this airport has excessive capacity, let me put it that way. So it’s not a problem.
Stephen Trent – Citi: Great. Thanks Adolfo. And just one another quick thing, I didn’t – I heard you say, mention the dividend that you declared this year, but if you could repeat that for me please, I couldn’t hear you so well.
Adolfo Castro: Yeah the proposal is Ps.4 per share.
Stephen Trent – Citi: Great thank you Adolfo. Let me leave it at that. I will let someone else ask a question. I appreciate.
Adolfo Castro: Thanks.
Operator: (Operator Instructions) And we will go next to Vivian Salomon with Itau.
Vivian Salomon – Itau: Hi Adolfo, good morning. I just wanted to ask you about the tax level that you reported during this quarter. Should we be expecting, let’s say normal for the rest of the quarters and just talking about my second question on the commercial side, what do you – I mean I know you don’t give the guidance, but what are you expecting in terms of what sort of the – what portion of the revenue should we be expecting to go up if we see the bench, as we see between dynamics of passenger mix during this year?
Adolfo Castro: Okay. In terms of factors Vivian more or less the average for the whole year should be an effective rate of 30% which is more or less the corporate rate we have in Mexico. The difference could be in the case of the cash that we pay in taxes, but in terms of the P&L the average for the year should be close to 30% or less something different of Qs as we saw in the fourth quarter last year when toward shifting from one pact to the other. In the case of commercial, I would say, yes, we don’t like to send resource in terms of commercial value of the passenger in the negative way. That’s clear that we don’t like that. I mean that’s not the objective we have as a management. But I may have to say that during this quarter there were very strange things that happened, the depreciation of the peso was one of them. Of course the amount of domestic passengers we saw in Cancún terminal was another one and we are taking the necessary steps to correct the situation to a project towards the end of the year we will have to open a terminal 1 that will represent some kind of relief to terminal 2. This will give domestic passengers more space and of course more opportunity to buy stock. As I mentioned at the beginning, we expect the change in the passenger mix so that we have more international in comparison of what we saw as earlier and so that’s what I can say for now.
Vivian Salomon – Itau: Thank you, Adolfo, very interesting.
Operator: And I will take our next question from Neal Dihora with Morningstar.
Neal Dihora – Morningstar: Hi, good morning, thanks. Two questions one you mentioned some reimbursement I guess from LMM bids in your P&L. I think that was in G&A, do you have the exact amount with the percentage amount and then two, were the LMM due, is the minimum CapEx amount for the duration of your 40 years there? Thanks.
Adolfo Castro: Okay. In terms of the reimbursement, these were some expenses that we have been reported in our P&L for the last two years that basically once operation was closed and we have a financial closing this was paid from Huatulco to Cancún airport. The amount of these was in terms of round numbers Ps.20 million and that was reflected already in our tools as reduction in expense in the cost of services. In terms of your second question, you mentioned minimum CapEx requirement. Yeah, there is two requirements, one from the earners, one from the employee team and in the case of the employee team basically they are requiring project, they are not requiring amounts. In the case of the airlines, they are requiring projects and in minimum amount. This is very small what we really have to do. We have to improve this airport. Today, I don’t have any specific amount of investment but what I can say to you is that the investment that we are expecting to put in this airport is by far more than the minimum requirement.
Neal Dihora – Morningstar: Okay. Thanks that’s helpful.
Operator: And we will take our next question from Luis Willard with GBM.
Luis Willard – GBM: Thank you good morning, Adolfo. Thanks for the call. Just a quick question regarding the negotiation of the MDP to the extent you can comment what can we expect in terms of the distribution of the investment given that it appears that you can continue growing without adding that much capacity to the terminals?
Adolfo Castro: Hi good morning, Luis, in terms of the MDP I cannot say too much today, what we are doing is basically having the with the authority they are basically going to each one of our airports reviewing each one of the projects we proposed in terms of investment. My expectation is that the investment for the next five year period will be lower in terms of real terms compared with the previous five year period. That makes the expectation but of course today, we cannot say too much because we will have to see and agree these with the authorities. I believe this will occur more or less in the third quarter period.
Luis Willard – GBM: Okay. Thank you.
Adolfo Castro: You’re welcome.
Operator: (Operator Instruction). We’ll go next to Augusto Ensiki with Morgan Stanley.
Augusto Ensiki – Morgan Stanley: Hi Adolfo, good morning, just a question on LMM. What is the amount of investment expected for this year and then how does that how is that going to be reflected on your balance sheet and on your P&L? Thank you.
Adolfo Castro: Okay. As I said before, today we do not have a specific amount. As a matter of fact, we’re working in the quotations and well the design of the project and then the quotations for this construction. This year, probably the amounts are going to be extremely important because the real construction will start as from October, November this year. And for the project next year is going to be the hard one. How is this going to be reflected in our books, basically through the equity methods and basically putting a value of our 50% equity stake, and so you will, again we are not going to consolidate this into our financial.
Augusto Ensiki – Morgan Stanley: Okay. So then in the, the way that it appears this quarter in the asset line?
Adolfo Castro: Exactly in the investment, yeah.
Augusto Ensiki – Morgan Stanley: Okay perfect. Thank you very much, Adolfo.
Adolfo Castro: You’re welcome.
Operator: And currently, I’m showing no questions in queue. (Operator Instructions) Then we’ll take our next question from Adolfo Ramos with Franklin Templeton.
Adolfo Ramos – Franklin Templeton: Hey Adolfo, good morning everyone. I just wanted to see whether there has been any progress on finding on expanding the organization. You mentioned that you were waiting on the approval of the LMM airport to make any decisions, I was wondering if you’re any close to hiring someone?
Adolfo Castro: Yes and getting closer, I am glad, probably I’m getting closer to hiring someone and I hope that by the third quarter you will see someone else here.
Adolfo Ramos – Franklin Templeton: Thank you.
Operator: (Operator Instructions) And at this time, I am showing no further questions, I’d like to turn the call back to you Mr. Castro for any additional or closing remarks.
Adolfo Castro: Thank you, Jamie. And thank you everybody for joining us today on our conference call. As always do not hesitate to contact me if there are any further questions. Thank you and have a good day. Bye.
Operator: And again that does conclude today’s conference. We thank you for your participation.